Operator: Greetings, and welcome to the STAG Industrial Fourth Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Matts Pinard, Vice President, Investor Relations. Please go ahead, sir.
Matts Pinard: Thank you. Welcome to STAG Industrial's conference call covering the fourth quarter 2017 results. In addition to the press release distributed yesterday, we posted an unaudited quarterly supplemental information presentation on the Company's Web site at stagindustrial.com under the Investor Relations section. On today's call, the Company's prepared remarks and answers to your questions will contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. Examples of forward-looking statements include statements relating to earnings trends, G&A amounts, acquisition and disposition volumes, retention rates, debt capacity, dividend rates, industry and economic trends, and other matters. We encourage all of our listeners to review the more detailed discussions related to these forward-looking statements contained in the Company's filings with the SEC and the definitions and reconciliations of non-GAAP measures contained in the supplemental informational package available on the Company's Web site. As a reminder, forward-looking statements represent management's estimates as of today. STAG Industrial assumes no obligation to update any forward-looking statements. On today's call, you will hear from Ben Butcher, our Chief Executive Officer and Bill Crooker, our Chief Financial Officer. I will now turn the call over to Ben.
Ben Butcher: Thank you, Matts. Good morning everybody, and welcome to the fourth quarter earnings call for STAG Industrial. We're pleased to have you join us and look forward to telling you about our fourth quarter and full year results. Presenting today in addition to myself, will be Bill Crooker, our Chief Financial Officer who will discuss the bulk of the financial and operational data. Also with me today are Steve Mecke, our Chief Operating Officer, and Dave King, our Director of Real Estate Operations. They'll be available to answer questions specific to their areas of focus. The fourth quarter was another successful quarter for STAG and a great way to close out our 2017. For the year, the team continues to identify accretive opportunities, closing $613 million of acquisitions at 7.4% stabilized cash cap rate. Net acquisitions $545 million after dispositions, grew by more than 70% over the prior year. We continue to see a persisting opportunity to acquire on an attractive relative value basis in the 60 plus markets that we monitor. The team was equally busy on the leasing front this quarter with 2.4 million square feet leased, including approximately 1.3 million of square feet of new leases at 5% roll over cash rents. This is our highest new leashing total in our Company’s history. These favorable leasing results enabled us to exceed our revised same-store guidance for the year. This was our third consecutive quarter demonstrating the powerful combination of growing per share earnings while reducing leverage. For the fourth quarter, the platform produced 4.8% core FFO per share accretion while reducing leverage from 5.1 times to 4.9 times debt to EBITDA when compared to the same quarter in 2016. The industrial sector is very healthy, both generally and specifically in the markets in which we operate. We are seeing the strong tenant demand for our buildings, declining vacancy and rising rents across the majority of these markets. Industrial rents are highly correlated to GDP and with continued GDP growth expected, we are confident in our ability to reprise our expiring leases. The macro events for the first quarter of 2018 have significantly impacted the valuations in the REIT market. The broad equity markets rallied to all time highs and have recently corrected. The 10 year treasury rate has recently spiked to full-year high and has weighed on REIT shares. This key interest rate remains volatile and strategic course remains to some degree unknown. We entered 2018 well prepared should this rise in interest rates persists. First, we have a well laddered and almost entirely fixed rate balance sheet. Second, the rise in interest rates is likely the result of continued economic growth, good for both rents and the occupancy of our buildings. Third, our acquisitions remain accretive with the moderate rise in interest rates. Fourth, after a lag period, cap rates will likely also rise. Fifth, our principle competition, which is local private buyers to acquire buildings are more dependent on levers than we are. Interest rate increases will impact them more diversely than us. 2017 was another productive year for the STAG platform; accretive acquisitions, healthy leasing results and efficient and conservative capitalization has resulted in another year of first year earnings growth. The attractive opportunities continue to persist, industrial fundamental picture remains strong and the STAG team continues its robust execution at all phases of our business. With that, I'll turn it over to Bill to provide more detail on our fourth quarter and full year results.
Bill Crooker: Thank you, Ben and good morning everyone. I will discuss our results for the quarter and for the full year, followed by the introduction of our 2018 guidance. The fourth quarter was a strong finish to a very successful 2017. Core FFO was $0.44 for the quarter and a $1.69 for the year, an increase of 7% as compared to the full year 2016. This growth in core FFO per share was achieved while simultaneously deleveraging the balance sheet, which resulted in putting the company in great position as we begin 2018. On the operations side, retention for the quarter was 53% and 59% for the year. These lower retention numbers were the result of certain operational decisions made over the course of the year to let tenant leases expire in order to generate higher rental rates or opportunistic vacant property sales. These decisions produced great outcomes for our shareholders but ultimately resulted in the lower disclosed retention rates. The impact of these operational decisions reduced the retention metric from 73% to 59% with minimal impact to portfolio occupancy. Portfolio occupancy at year end was 95.3% as compared to 94.7% in 2016. Same-store cash NOI decreased by 10 basis points when comparing full year 2017 to full year 2016. This result exceeded our previously revised expectation communicated on the November call. The annual same-store decline was driven by an average occupancy reduction of 50 basis points. The beat of our guidance related to signing leases earlier in the quarter than budgeted. The 2017 annual same-store pool represents approximately two thirds of our total portfolio. But one third of our portfolio excluded from our 2017 annual same-store pool has annual fixed rental bumps of approximately 2%. While these assets and this contractual rent growth is excluded from the traditional same-store metric, these assets are part of the portfolio and are meaningful contributors to our core FFO. The balance sheet continues to strengthen. We raised $88 million of equity through our ATM [amendments] [ph] in Q4 and deleveraged slightly to 4.9 times on a net debt to run rate EBITDA basis. Our fixed charge coverage ratio is 4.3 times and our liquidity is $348 million, which includes a swap unfunded $150 million term loan available immediately. Turning our attention to 2018. We have enhanced our disclosure on our supplemental and added a 2018 guidance slide. The 2018 guidance presented incorporates the standardized definition as agreed to with the other industrial REIT payers as referenced in our press release last month. The conforming of these definitions with our peers did not have a material impact on our prior period disclosure. We expect to acquire between $500 million and $700 million in 2018 with a stabilized cap rate range of 675 to 725 and expected disposition volume range between $100 million and $200 million. We expect the 2018 annual same-store pools NOI growth to be flat to positive 50 basis points. Note that the 2018 annual same-store pool accounts for approximately 80% of the portfolio as of the year-end 2017. Retention is projected to be between 70% and 80% for the year. 2018 G&A is expected to be between $35 million and $36 million for the year. For the first quarter of 2018, we expect to acquire between $120 million and $135 million with approximately one third NOI contribution to the quarter, which is a result of the expected closing date. Disposition proceeds are projected to be between $50 million and $60 million for the quarter. For the first quarter of 2018, we expect same store cash NOI to be down approximately 1.5% to 2% and growth throughout the year, resulting in flat to positive 50 basis points in same store cash NOI for the full year. G&A for the quarter is expected to be between $9.25 million and $9.75 million. I will now turn it back over to Ben.
Ben Butcher: Thank you, Bill. Our focus remains on delivering bottom line performance for our investors. As previously noted, our annual core FFO per share grew by 7% over the full year 2016. Our balance sheet is flexible as we look to deploy our available capital to its highest return, which currently is our accretive acquisition. As demonstrated in the past, we have the ability to execute on various sources of capital, which includes asset sales. During the first quarter of 2018, we executed one of these asset sales and sold a single tenant building for 6.2% cap rate, generating $32 million in proceeds. We acquired this asset in 2010 for 9.2% cap rate. This continued focus and demonstrated capital discipline combined with the abundance of accretive acquisition opportunities made for very bright future for our company. We thank you for your time this morning and for your continued support of our company.
Operator: [Operator Instructions] Our first question comes from the line of Sheila McGrath with Evercore. Please proceed with your question.
Sheila McGrath: Ben, you sold more assets than historically over the past around 18 months, and you’re guiding even more - for more dispositions this year. Can you talk about your philosophy on disposition? Are these the bottom end of the quality spectrum or opportunistic owner user sales? Just give some insights on asset sale?
Ben Butcher: I think that we always have thought about our asset sales, primarily on the basis we’ll sell when they’re worth more to somebody else than they are to us within our portfolio. The asset sale that we accomplished in the first quarter this year was certainly one of those instances. Although, a fine asset some of those valued higher than we would have valued within our portfolio. We also continue to sell our non-core legacy flex office assets, hopefully at good prices as we opportunistically lease those. The dispositions that we plan for the year thus far are opportunistic in strategic I think and potential for capital sourcing disposition exist, but not necessarily I think that we would contemplate in the near term. And it’s certainly something that is there as a arrow in the quiver as we move through the year.
Sheila McGrath: And as a follow up cap rate guidance on acquisitions is lower than your historical range. I wonder if you could talk about, have you changed your IRR hurdles or are you thinking there is more embedded rent growth in acquisitions today. Just some thoughts on that cap rate range?
Ben Butcher: Well, it’s embedded rent growth has longer lease terms I think the focus on buying good accretive assets to add to our FFO per share remains primary. But I think it's more reflective of expected mix change, again in terms of lease term as you suggest embedded rent growth, and then also market perception or perception of market quality, as well as asset quality. So mix change without giving up accretion.
Bill Crooker: And to put that in context for 2017, our GAAP cap rate for our 2017 acquisitions was 80 to 90 basis points higher than our cash cap rate.
Sheila McGrath: But you haven't changed your IRR underwriting?
Ben Butcher: No, that's still a feature of our analysis.
Operator: Our next question comes from the line of Michael Carroll with RBC Capital Markets. Please proceed with your question.
Michael Carroll: I just wanted to follow-up on Sheila's questions on your cap rate guidance. I know, Ben, in your comments and your prepared remarks you were highlighting that higher interest rates could push cap rates higher and then your cap rate assumptions right now are little bit lower. Do you see pricing adjusting in the secondary markets that you’re pursuing or are you going after just better quality assets in general and that's why your assumptions are coming a little bit lower?
Ben Butcher: Well, I think that we are -- our promulgated range is conservative and reflective of conditions today if interest rates stay where they are today or even drift higher, I'm very certain that you will see cap rates after some lag period also move up. I also would suggest that we do buy in across both primary and secondary markets. And I think that the concentration if you will in the primary markets is likely to continue to rise as a part of our portfolio. So again, I think it's a bit of a mix change and the promulgated 6.75 and 7.25 is reflective more of current conditions than it is perhaps of a conservative view of the year going forward. I would expect that the market may indeed have some release of the cap rate compression that's occurred over the last number of years. But we're not sharing that in our numbers at this point.
Michael Carroll: And then the cap rates that you’re quoting, are those GAAP or cash?
Ben Butcher: Those are cash. And as Bill just pointed out, last year for 2017, our GAAP cap rates were 90 basis points above the cash rates.
Michael Carroll: And then Bill maybe can you talk a little bit about your same-store growth guidance and maybe break it up between the seasoned assets within your portfolio and the recent acquisitions. How much headwind do you expect to see from occupancy resetting on your recent acquisitions impacting that same-store guidance?
Bill Crooker: Well, there is no growth -- number of things that impact same-store. So as we mentioned in the prepared remarks, the same-store pool for 2018 will represent about 80% of the portfolio. So that would be a mix of average occupancy throughout the year. Our retention rates, which was 70% to 80% for the year as well as roll over rents. And we view the near term roll over rents to be slightly below market so we should see a little bit of increase in roll over cash rents as well.
Michael Carroll: And do you expect to see much headwind from your recent acquisitions, resetting occupancy at the low rate since you're buying them pretty much fully leased and you expected to have a 95% run rate in general?
Ben Butcher: Not on the recent acquisitions, Mike, for a couple -- one they're not in the same-store pool, but two, generally those lease terms are five to seven years. So those leases won't roll for some period of time.
Operator: Our next question is from the line of Dave Rodgers with Robert W. Baird. Please proceed with your question.
Dave Rodgers: Ben or Bill, maybe following up a little bit on retention and same-store. As you look at the first quarter, Bill, what's driving the negative one to negative two number that then obviously reverses to something into the plus one to plus two, probably by the fourth quarter. Is that -- I guess two questions, one is what's the retention in the first quarter, and what then would be the impact of asset sales to occupancy or the same-store pool as you move through the year?
Bill Crooker: I mean, it really is a -- it's a mix of a number of things. Retention for the first quarter is going to be call it in that 80% range, so positive retention there. It is a cash same-store number. So some of it is some leasing assumptions in the later quarters through the year, as well as some free rent in Q1 that will be cash rent in the future quarter. So we feel very comfortable with our same-store guidance for the year of zero to 50 basis points positive, which is an improvement over this last year.
Dave Rodgers: Ben when you look at your disposition guidance how much of that was a function or is a function of what's happened in the stock market over the last three, four, five weeks. And would you anticipate adjusting that guidance depending on where the stock ends up trading over the rest of the year?
Ben Butcher: Well, when the stock reverts back the more normal levels and obviously, we'll be issuing equity and we wouldn't be looking to use capital sourcing from disposition. The guidance that we've shown to-date remains what we expect to do on an opportunistic basis. We're not selling assets that we would like to hold as a source of capital, that's not a part of the plan to-date, it's certainly available to us. We have identified portfolios that if we wanted to do capital sourcing, we could use those portfolios for that purpose, but it is not part of that plan. The disposition numbers are more opportunistic and related to specifics of those assets, so it's really not a reaction to the stock market. As Bill pointed out at the end of the year where our debt to EBITDA is at 4.9, we've lots of capacity in some of the other, if you will, arrows in the quiver to capital pool we would need to go to asset sales as a source of capital.
Bill Crooker: And Dave, if we did go to asset sales as a source of capital, very confident that those portfolio sales would generate 100 to 150 basis points of cap rate compression inside of where we acquire those individual assets.
Operator: Our next question comes from the line of Michael Mueller with JPMorgan. Please proceed with your question.
Michael Mueller: Couple of questions here, first of all on the disposition cap rate and the whole commentary around that. Ben, trying to understand did you make the comment that you were looking more at primary market as opposed to secondary markets and that was the part of the reason for it?
Ben Butcher: This is on the acquisition side. So we're cognizant of the fact that there is a -- the primary markets hold a lot of assets and our ability to identify relative value is just across all markets. So we’re very -- our expectation is that a concentration of primary market assets in our portfolio will increase overtime.
Bill Crooker: And Mike as a reminder, definition of primary markets is markets that have greater than $200 million net rentable square feet, which was a definition promulgated by CBRE Econometric Advisors back at our IPO, so really the size base definition.
Michael Mueller: Just thinking about in the past, I mean the whole idea of avoiding those markets was less competition, smaller deal sizes and you could sit there and knock out the picks of acquisitions wanted to. Do you expect to be able to still do that as you shift to market a little bit?
Bill Crooker: Well, I think one of the things we talk about internally is an internal concept that we will of an external concept and growth at a reasonable price. The primary markets in -- the markets that are 200 million square feet by the numbers we’re looking at is about 34 markets. There is a variety of, if you will, GARP numbers that come out of those markets. So the sum of those markets have better expected cap rates, i. e. higher cap rates with perhaps the same growth in some of the lower cap rate markets. So we will be looking across those 34 markets to find individual assets that will produce the cash flow return the relative value that we’ve always looked for. So it’s not -- we're not saying we’re going to go compete with the 3.5 cap purchases just to get in the primary market. We’re still focused on relative value and cash flow overtime.
Michael Mueller: And then just one other question, for the disposition target for 2017. What are the cap rates expected to be there? I got them for acquisitions, but I didn’t hear anything on disposition side.
Ben Butcher: We don’t promulgate cap rates there. It’s more opportunistic and individual asset oriented. It will depend on the mix of the assets sold. Again, some of them will be sold opportunistically, because they’re worth more to somebody else and some will be our continued culling of the herd and getting rid of the legacy flex office assets opportunistically.
Bill Crooker: And Mike, if there was a portfolio sale, that’s something would likely give you a cap rate for when we source capital that way. But as Ben said, it’s more mix of opportunistic and non-core and our opportunistic dispositions in 2017 yielded a 12 plus unlevered IRR.
Operator: The next question comes from the line of Mitch Germain with JMP Securities. Please proceed with your question.
Mitch Germain: Is there any change in the dynamic in terms of the competition for acquisitions? I know you mentioned private buyers on the little squeeze from the higher rates. But are you seeing any increases in institutional capital, particularly as you look to upgrade some of your markets?
Ben Butcher: I think that the dynamic in the market is 50,000 feet hasn’t changed very much. You see as inflows we’ve seen over the last couple of years Gramercy being more involved, we certainly see some of the private players involved. But I don’t think that there is any grand change in the dynamic. There is certainly press people continue to talk about going to secondary markets in search of more yield, I think there has been a fair amount of presence, the recognition that the whole ecommerce and last mile was not limited to three to four markets is a broad opportunity and it exist anywhere there is population. So the 34 primary markets and the 30 years, so secondary markets will have that impact as well.
Mitch Germain: And just one last question from me, I think those consists of opportunistic I guess non-renewals to try to lock-in higher rates. Maybe just talk a little bit more about that please.
Ben Butcher: So we have assets where there may be a tenant it who is just very focused on low rents, and they’re not willing to pay what the building is actually worth on instances we will not renewed those tenants and look to move to more closely to market rents, or maybe in situation where we know there is a user that will pay more for the building than the existing tenant would pay in rent, or a situation where a tenant doesn’t want to pay rent anymore just want to buy the building and again, an opportunistically an advantageous number to us.
Bill Crooker: And there was a handful of those this year, some of which we've mentioned on previous earnings calls. There is two leases in Q1 where we rolled the new tenant up to market and led the old tenant roll out that obviously hit our headline retention number, but it was a positive for the portfolio and core FFO. So ultimately the handful of decisions we made till our tenants roll out and then opportunistically either lease them up to new tenants in a short to no downtown situation or sell the asset to a user would have result in 73% retention rate for the year.
Operator: The next question comes from the line of John Massocca with Ladenburg Thalmann. Please proceed with your question.
John Massocca: So 2017 acquisition volumes came in a little bit light given firstly the guidance you guys have given at 3Q '17. Was that a result of this transactions slipping pass the end of the year or was there the slowdown in the market at year-end?
Ben Butcher: There were three transactions that were identified as likely '17 close with the two into the first quarter, that would have taken us to the midpoint of the range or slightly above.
Bill Crooker: And you'll see those in our subsequent to quarter end acquisition as well $42 million.
John Massocca: And then looking at the 2018 guidance, the retention ratio is slightly above what you guys historically been expecting. Is there some reason for that, or is there -- do you think tenants are going to be a little stickier in the market or you think that they’re more willing to pay some increased rents you want or was there something else driving that?
Bill Crooker: So long on average has been 70% across the portfolio and in some years you’re a little below that, some years you’re a little bit above that. And in 2018, we expect to be above that range and I think it's just -- it's a mix of tenant confidence and the demand for our buildings.
Ben Butcher: And then it's also obviously -- the particular leases that are rolling, the sample is not small but it's also not huge so you can get variability in the retention rate just depending on the mix in that particular year.
Operator: The next question is from the line of Chris Lucas with Capital One Security.
Chris Lucas: I guess, Ben, just on your commentary about rates and how that may or may not impact cap rates going forward. Just curious as to whether the pace of dispositions would be frontend loaded in acquisitions we should be thinking about maybe more back-end loaded for the year?
Ben Butcher: I think our expectations are we’ve obviously accomplished a pretty significant single asset disposition already, but our expectations are I think pretty -- the dispositions we spread across the year and our acquisitions will follow some cyclicity as they almost always do. But again spread across the year.
Chris Lucas: And then just maybe some color on just how you’re seeing the cap rate spread between primary and secondary markets over say the last 12 months. What's that spread done?
Ben Butcher: Yes, I mean we're so focused on single asset and identifying relevant value on single asset purchases that we don't spend a lot of time looking at a grand primary versus secondary cap rate basis. And again, within the primary markets, there're markets that have cap rates in the sixes, there're markets that have cap rates in the fours. And so we just really not looking at it at that scale really looking at individual submarket and actually individual asset base.
Operator: Thank you [Operator Instructions]. Our next question comes from the line of Jon Petersen with Jefferies. Please proceed with your question.
Jon Petersen: So thinking about your acquisition pipeline and guidance for 2018, and how you guys are going to fund that. Curious on your thoughts on how we should be modeling funding those acquisitions in light of your stock has pulled back a little bit this year with the rising rate environment that you guys have addressed, and also your leverage is towards the low end of your target range. So is it fair to assume that this will be a year of increasing leverage? And then I guess follow-up on that is what's your preference in terms of term on your debt you might issue from here?
Ben Butcher: So I'll do the first part and Bill will address the second part. I think that one of the things we hope we've demonstrated over the last number of years is that we're prudent allocators of capital and prudent sources of capital. So in the very short term certainly we'll be using debt as a source of capital for these accretion acquisitions. We'll be looking at the other arrows in the quiver hopefully common equity will be a source. But if it's not a source, preferred equity is a source, asset sales is a source. So we will continue to look at sources and use the one that as again hopefully we've demonstrated use the one that’s best for our shareholders.
Bill Crooker: And if you look at the guidance that we put forth, you can hit the midpoint of all those ranges, including our leverage band and in terms of inclusion that no equity would be needed if we would hit the midpoint of all of those. So we’re very comfortable where we are heading into 2018. From a debt standpoint, we'll certainly raise some debt this and it'll be a blend of five, seven, and potentially 10 year paper across private placement markets in term loans, unsecured bank term loans.
Jon Petersen: And then I guess on underwriting acquisitions, maybe you guys already answered this but I am just curious when the stock pulls back like this and it’s not just you guys, it’s the whole REIT sectors, so I am not thinking on it necessarily. But when stock prices pull back like this, do you slow down on the acquisition underwriting just to see how things shake out and how things change, or is it full speed ahead you're comfortable because your leverages is in check now…
Ben Butcher: I think there's a level of aggression perhaps that we look at in terms of how we're looking at transactions. But what we're really looking at is the accretion potentials of each acquisitions. And so pricing our capital off current stock prices, the accretion is lower than it would be if we're at $28 this year. And so that pampers our enthusiasm on individual asset base and there’s not -- our deal meeting doesn't have a red-light, green-light in it or yellow light in it. It is more a lower stock price means a higher cost of capital means less accretion, which in and of itself tampers our enthusiasm
Operator: Thank you. At this time, I'll turn the floor back to Ben Butcher for closing remarks.
Ben Butcher: Thank you everybody for joining us today. We are very, very happy with where we sit with our leverage and its low level at the end of the year with the pipeline that we’re looking, very enthused about the progress that we continue to make internally in terms of efficiency and accuracy, if you will, in our underwriting. So I think we’re in very good shape. I hope the investors -- you our investors appreciate our continued FFO per share growth and our continued focus on that important metric. We are highly focused on continue to deliver both growth and income to our investors. Thank you for joining us today.
Operator: Thank you. Today's conference has concluded. You may now disconnect your lines at this time. Thank you for your participation.